Operator: Welcome to the Getinge Q1 2024 Conference Call. [Operator Instructions] Now I will hand the conference over to the speakers CEO, Mattias Perjos; and CFO, Agneta Palmer. Please go ahead.
Mattias Perjos: Thank you very much, and hi, everyone, and welcome to today's conference. With me I have our CFO, Agneta Palmer who will present the financials in a moment. We can move directly to Page 2 to kick things off please. So on Page 2, we're trying to highlight the key takeaways when it comes to performance for the quarter. So getting the sales increased by 5.2% in the first quarter and this, we had unchanged organic sales despite the challenging comparative figures that we had because of the release in COVID in China last year. Order intake for Getinge as a whole, increased by 7.8%, of which organic growth was 2.5% due to the positive performance across all 3 business areas and our main geographic regions. Despite the increased sales, the adjusted EBITDA margin was lower than last year, and this is mainly due to continued cost for quality improvement in Acute Care Therapies and higher costs for input goods and for employees. We continue to have strong free cash flow, and we have a solid financial position that will enable us to continue to invest in profitable growth going forward. So with that, we can move to Page 3, please. So just wanted to touch on some of the key activities and events during the quarter. So when it comes to the offering to our customers, we received during the quarter our 510(k) clearance for Hemopro 3 which is the new generation of our leading endoscopic vessel harvesting technology. In addition to this, we had our launch of our Servo TwinView and this a digital tool allows medical teams to access and analyze data from the ventilators without having to step inside the sensitive environment in the intensive care unit. We also launched Aquadis Index, which is a high-capacity washer disinfector, and this is a good combination of better capacity for customers and lower energy consumption. We also strengthened our already attractive portfolio of systems and the bioreactors for advanced drug development and production with, for example, our single-use production reactor. If we then move to sustainability and quality, continued quality improvement efforts in Cardiac Assist in Cardiopulmonary, according to the previous communicated plan is something we spent quite a bit of time on in the quarter. for Cardiac Assist, we continue with the field corrections according to the plan that we have in order to regain our CE Mark. In the middle of April, we also submitted the application for CE certificate approval for the new packaging for the ECMO therapy consumables. This is the HLS sets. These are the ones that generate the highest sales, of course, in this therapeutic area. Also, we soon expect to submit an application for the product to generate second highest sales within the Cardiopulmonary and these are the PLS sets. And from a sustainability perspective, when it comes to the environmental aspect, we have carbon dioxide emissions continuing to develop in a positive direction. We can then move over to Page 4, please. So as stated earlier, we had order intake growth in the quarter. So reported order intake increased by 7.8%, where 2.5% of that was organic. And net sales grew by 5.2%, while organic sales growth was flat in the quarter. All regions grew orders organically in the quarter. Americas is the best-performing market currently, where we had solid performance in the U.S. overall, I would say. Organic net sales was flat. All in all, despite tough comps in China, particularly, APAC [indiscernible]. And also here, we have solid performance in the U.S. overall. We can then move over to Page 5, please. So when it comes to our guidance for top line, we reiterate that the outlook for 2024 is organic net sales growth in the 2% to 5% range. And in addition to this, we expect our recent acquisitions to contribute with 3 to 5 percentage points. So unchanged guidance from that perspective. And we can move over to Page 6, please. So if we look at the order intake in a bit more detail. Acute Care Therapies had a 1.3% organic order intake growth. This was mostly driven by Cardiopulmonary and Cardiac Assist. In Life Science, we had 5.6% organic order growth. And this came following a strong quarter in sterilizers and in our Sterile Transfer offering. The performance for Life Science remained weak when it comes to bioprocessing. Surgical workflows, finally, we had 3.6% organic growth. And here, the growth came from all product categories except for infection control, which declined in the quarter. We can then move over to Page 7, please. So one step down and then looking at sales. Organic net sales for Acute Care Therapies increased slightly, primarily thanks to large deliveries of hardware in Cardiopulmonary and for both hardware and consumables in Cardiac Assist. Moving on to Life Science. Organic net sales for Life Science declined overall, minus 9.2%, and this was mainly in sterilizers, washer-disinfectors and isolators and it was also somewhat challenging when it comes to bioprocessing. Sales of Sterile Transfer products continued to perform positively within the Life Science business area. In Surgical Workflows, we had 2.4% organic growth and Surgical Workflows increased its net sales mainly when it comes to operating table. And from a geographical perspective, growth was healthy in the Asian market. Acquisitions is a positive in the quarter as well. They contributed to an increase in net sales of SEK 466 million in the first quarter of this year. Currency when it comes to top line, had a minus 95% -- SEK 95 million or a 1.3% negative impact on net debt for the group. Revenue from service continued to perform positively and combined with large deliveries of consumables in Cardiac Assist. This resulted in growth in recurring revenue as well. We can then move over to Page 8, please. So looking at the gross margin, adjusted gross profit increased by SEK 121 million to SEK 3.855 billion in the quarter, where FX effects impacted by minus SEK 29 million. For the group as a whole, the adjusted gross margin declined by 1 percentage point as a result of costs related to the previously communicated challenges in Cardiac Assist and Cardiopulmonary. And we also had higher costs for inputs and for employees. This was then partly offset by price increases and activities to enhance productivity. For Acute Care Therapies, the adjusted gross margin declined by 1.4 percentage points, mainly due to negative mix effects and the costs related to the ongoing improvements in Cardiac Assist and Cardiopulmonary. The margin in Acute Care Therapies was also impacted by negative currency effects, the higher cost of input goods and for personnel. This was partly offset then by price increases and positive performance for consumables in cardiopulmonary. For Life Science, the adjusted gross margin fell by 2.1 percentage points as a result of lower absorption and higher cost for input goods and employees. Price increases helped somewhat and also currency to reduce this negative effect, but not entirely. Surgical Workflows, adjusted gross margin increased by 2.2 percentage points, and this was primarily as a result of acquisitions and price increases. So with that summary, down to gross margin, we can move over to Page 9, and I leave it over to you Agneta.
Agneta Palmer: Thank you, Mattias, and hi, everyone. A pleasure to be here with you in our first earnings call. So let's have a look at adjusted EBITDA, it was down by 13.4% and the margin came in 2.4 percentage points lower. Adjusted gross profit effect on the margin was negative by 1.2 percentage points due to what was just mentioned by Mattias. So in short, a slightly negative mix costs relate to the quality improvement work, increased costs for input goods and personnel, which was then partly compensated by price increases and productivity. Adjusted for currency, operating expenses, OpEx had an effect of minus 2.1 percentage points impact on the margin in the quarter. That was mainly due to higher costs for employees or services. And also in OpEx, we have some effects from the quality improvement work in Cardiopulmonary and in Cardiac Assist. Adjusted for currency, depreciation and amortization had a positive effect of 0.3 percentage points on the margin in the quarter and FX also impacted positively. So all in all, this resulted in an adjusted EBITDA of SEK 842 million and a margin of 11.2%. Then please move over to Page 10. Free cash flow amounted to almost SEK 1 billion, and that was positively impacted by changes in working capital, mainly attributed to receivables. Last year, you may recall that we had a onetime effect impacting our cash flow. Even adjusting for that, we see an improvement versus last year in working capital, mostly thanks to well-managed receivables. Working capital days continues to be well below 100. We are now at close to 94 days, which is down a bit more than 35 days from the peak. And we continue to be somewhat below trend on operating return on invested capital with 10.1% on a rolling 12-month basis, which is still above then the cost of capital. Let's move to Page 11, please. The change in net debt year-over-year is due to the acquisitions that we finalized in the fourth quarter of 2023. A sequential improvement since then takes us to SEK 7.6 billion in net debt at the end of quarter 1. If we adjust for pension liabilities, we are at 5 figures. This brings us to a leverage of 1.4x EBITDA. And if we adjust perpetual liabilities, the leverage is at 0.9x EBITDA. Cash amounted to approximately SEK 3.4 billion at the end of the quarter. So all in all, we can conclude that the financial position continues to be strong. Let's then move to Page 13 and back to you, Mattias.
Mattias Perjos: Great. Thank you, Agneta. So on Page 13, I just wanted to quickly summarize the key takeaways from the first quarter of this year. So we continue to grow orders and net sales, and we have launched a large number of value adding products in the quarter, which I think is a very positive highlights. We reiterate our guidance for the full year, 2% to 5% organic net sales growth. And in addition, we expect recent acquisitions to contribute with 3% to 5% of growth this year. The adjusted EBITDA margin came in 2.4 percentage points below last year, which is explained by the additional cost for quality improvements and also cost for input material and for personnel. We strengthened our free cash flow versus last year, and we remain with a solid financial position. And if we look at the priorities for 2024, the remainder of the year, it's really about addressing the remaining quality challenges in Acute Care Therapies. It's about working on sustainable productivity improvements and having a cost consciousness in the remainder of the year. And of course, last but not least, continue to create value for our customers. And with that said, I open up for questions around this call.
Operator: [Operator Instructions] The next question comes from Erik Cassel from Danske Bank.
Erik Cassel: So first question, how much of the balloon pump backlog when it comes to hardware, have you managed due now and when do you expect to.
Mattias Perjos: You had quite a bit of background noise there. Can you repeat the second? I only heard the balloon pump backlog. Can you repeat the second half of the question please?
Erik Cassel: Sorry, a bit of problems with headsets. Just wondering on the balloon pump backlog. Since you now deliver the large part of it, how much is left to deliver? And when do you think making those deliveries will have a positive impact on the order intake efficiency?
Mattias Perjos: Okay. We don't disclose how much backlog we have when it comes to balloon pumps. And even though we have delivered some of it, and it is gradually reducing, it's a significant backlog still that we will require several months to work through, but we don't provide any forecast on this. And therefore, it's also difficult to say when it will have an impact on order intake, of course.
Erik Cassel: Yes, I understand. Then second question, how large was the scraping effect in [indiscernible] compared to Q4?
Mattias Perjos: We don't break out scrapping individually. I think we have gradually reducing cost for quality deficiencies, but we don't break down this in details.
Erik Cassel: Okay. But it was SEK 200 million in Q4 in total scraping. Is it ballpark the same now? Or is it a lot lower?
Agneta Palmer: So the SEK 200 million was the overall sort of quality-related additional costs. And the amount in Q1, I would say, is roughly half of that.
Erik Cassel: Okay. So I'm just wondering now for, say, full year '24. On the say, current run rate cost of quality working is [indiscernible] And then also, how much of it you can expect to phase out once the ECMO [indiscernible] issues are resolved?
Agneta Palmer: So we don't forecast and disclose that. But the current trend, we can assume that it is reasonable that it continues through the coming quarters. So roughly half of what we had last year in quality-related costs would be a fair assumption. And at this point in time, we would rather come back when we have the numbers of the -- but for now, that is what we are tracking.
Operator: The next question comes from Rickard Anderkrans from Handelsbanken.
Rickard Anderkrans: All right. So first on the ECMO packaging solutions. When should we expect approval and market launches of new packaging solutions? And how do you feel about the visibility on that time line? That would be my first one.
Mattias Perjos: Yes. I think it's unfortunately quite a bit out of our hands to predict this. If you look at the other instances, it's taken anything from a month to over a year. So it's very difficult for us to provide any certainty when it comes to this. We're hoping for expedited treatment of this, but it's really not up to us.
Rickard Anderkrans: All right. Fair enough. And second question on new midterm financial guidance, how come you didn't provide any updated medium-term targets in conjunction with Q1? And when should we expect new targets to be announced?
Mattias Perjos: I think the reason for not providing it in this quarterly report is just that it is a hectic reporting period for everybody, and it's limited time during a quarter call. So we decided to separate the 2 events. So I think the planning now is that we will come back on the 15th of May with not updated targets on guidance, but more clarity when it comes to growth of our end markets and the, I guess, earnings capacity of our business.
Operator: The next question comes from Kristofer Liljeberg from Carnegie.
Kristofer Liljeberg: Some questions for me. First, just coming back to your comment here about quality cost. And when you talked about roughly half of the cost versus last year. Is that also applicable for the full year? Or was that more a comment for -- on a quarterly basis here?
Agneta Palmer: That is a reasonable assumption for the full year as well.
Kristofer Liljeberg: Okay. Good. Then I was a little bit surprised here about the large shipment of Cardiac Assist hardware, given that the CE mark was suspended again even though it was pretty late in the quarter. But this CE mark suspension, will that impact deliveries you think in the second quarter?
Mattias Perjos: I think it mainly impacts deliveries in terms of participating in new tenders selling to new clients. It doesn't impact that much of the backlog.
Kristofer Liljeberg: Okay. Great. And then finally for me, if you could maybe comment a little bit about the overall market demand and your confidence in the full year sales growth guidance range.
Mattias Perjos: We feel pretty confident that the range that we provided, the 2% to 4% or 5% is still valid. I think the events that have panned out here in the first quarter have mostly been confirmatory. So that's why we decided to reiterate that and also stay with 2% to 5% range. Generally, it's a positive. I've called out in the call earlier, the development in the U.S., in particular, which is our biggest, most important market, which is developing favorably. And on the other end of the range, you have China, which especially from a Life Science perspective, remains challenging.
Operator: The next question comes from Oliver Reinberg from Kepler Cheuvreux.
Oliver Reinberg: The first one, Mattias, can you just provide an update on the kind of launch of the Acute ventilator in the U.S. and also the covered stent? Apparently, you now signed a kind of new distribution agreement with Cook Medical. Do you still go direct in this kind of space, any kind of update where you stand on both product line space?
Mattias Perjos: Yes. I think on the first part of the question, it's a bit too early to say. We launched the new ventilator in the U.S. in Q4 last year. We don't provide any kind of data when it comes to the traction on this. But needless to say with some of the changes when it comes to our competition, we remain optimistic about the opportunities at least for the medium to longer term. When it comes to the distribution agreement with Cook Medical, it is an exclusive distribution agreement in the U.S. So it means that we do not sell direct to our sense taken over by Cook in the U.S..
Oliver Reinberg: And any kind of color how quickly you can move back to the market in terms of earlier sales that you had in the past?
Mattias Perjos: No, too early to say. I think we've entered into this agreement because we are both enthusiastic about the opportunities here. They have a sales force that is many multiples bigger than our own. So that should realistically have an impact, but it's very difficult to forecast the pace of this pick-up.
Oliver Reinberg: Okay. Understood. And secondly, just on this kind of CE Mark issue around [indiscernible], which, obviously, was pulled again a couple of months ago. So can you just share your take what happened there? And what are exactly the steps that you now have to go through?
Mattias Perjos: Yes, to share exactly it's a bit long winded. But I think the main summary is that we haven't been fast enough when it comes to implementing some of the field safety actions that are needed in certain geographies. So they notified body and was not happy with the progress made. So that's the main reason for the new suspension of the CE Mark. Part of that -- those delays were triggered by a lack of components that we had during the first half of last year. So those are now mitigated, and we're in a much, much better situation to do the field safety actions with better speed. So we're cautiously optimistic that we'll be able to do that part of the remediation work. But again, it's difficult to provide any detailed guidance on this going forward. I think we are in agreement, and we are clear about the work that needs to be done, but it's a little bit difficult to forecast the pace.
Oliver Reinberg: Understood. And last question from my side. Just in terms of kind of full year margin outlook in the past, you provided some kind of color as part of the kind of call. So I mean, The Street is currently looking for 13.6% EBITDA margin for the full year. Is that a level you feel comfortable with? Or do you see more risk to the opportunities outside of it?
Mattias Perjos: Yes. you know very well, Oliver we don't guide on margin [indiscernible]. We've said that we will have an improvement in '24 compared to '23. But we've not been more granular about this. And I think the next information milestone is going to be on the 15th of May, where we provide a bit more explanation about both end market growth, but also our potential to improve profitability.
Operator: The next question comes from Mattias Vadsten from SEB.
Mattias Vadsten: I think you said the transfer products developed positively. Could you elaborate a little bit on this and perhaps update us as well on the momentum around data banks? That's the first one.
Mattias Perjos: Yes. When we talk about transfer, the main category there is data bags. And difficult to provide any more color. We don't break this down into any kind of subsegment reporting. So no additional numbers there. just that it seems to be bottoming out, this destocking has been going on for a while and slightly better momentum with at least some selected customers in that subcategory.
Mattias Vadsten: Good. Then on the Surgical Workflows, another strong quarter, at least, I mean, I think quite extraordinary still levels. Do you expect more normal Surgical Workflows sales from here in the upcoming quarters? Or how should we see it?
Mattias Perjos: It depends on what you mean more and more normal. I think we said we have a good momentum from the acquisitions. We have good traction when it comes to operating table, both the legacy portfolio but also our newly launched Corin table that's been well received. So we don't provide VA guidance. They are bundling with the 2% to 5% growth for the full year.
Mattias Vadsten: Okay. Good. Maybe you touched a little bit on it. But on the two acquisitions, this have performed quite well. Could you perhaps touch upon the development for those two companies that you acquired last year until now? And maybe also touch a little bit on the margin performance, if that's possible. That's my last one.
Mattias Perjos: Yes. I think if we start with Healthmark, they had a very good start of getting both initially in the fourth quarter when we joined last year, and this momentum has continued through Q1 as well. We're very happy with this addition to our portfolio. It's really well received by customers. And growth-wise, they are a little bit ahead of our expectations on what we had in business case when we acquired them. And also from a margin standpoint, we're doing a little bit better. So positive on all fronts, I would say, there. And a bit similar to when it comes to High Purity New England. I mean, this is a younger company. So not profitable when we acquired them, but plenty of capacity to expand in a very attractive niche. And I think the interaction with customers during the first few months, our ownership has confirmed our positive view on the portfolio and the potential of the portfolio and the growth potential and with the leverage effect from growth, we believe that they will turn into more profitable part of the Life Science as well.
Operator: The next question comes from David Adlington from JPMorgan.
David Adlington: Most of them have been asked already. Maybe just on the events on the 15th of May. Is that -- can I just ask you that, is that a capital markets event? Or is that just going to be a call and a quick update in terms of the longer-term expectations? Secondly, just wondered why we've seen an uptick in R&D capitalization this quarter? And then finally, just in terms of the recovery in China. I just wonder what visibility you have there, please?.
Mattias Perjos: Yes, sure. I'll start with the first one here. So we haven't labeled the event as such, but it is more of an informal update in closing the loop on some of the question marks that have been there around end market growth divided into some of the subsegments that are most important to us and also trying to help the understanding of the cost evolution in the last few years, the progress when it comes to quality improvement work, the impact it has had on the business and likely will have going forward and also a bit on the mix of the business and what we expect from that. So it is more of an informal update, I'd say, than anything else. And the second part of the question I didn't hear. Maybe Agneta heard that.
Agneta Palmer: It was it regarding the R&D capitalization in the quarter, is that correct?
David Adlington: Correct, yes.
Agneta Palmer: Yes. So Firstly, there's a bit of timing depending on where we are in different large projects. But secondly, it is that we are investing resources in future portfolio and in the -- some of these quality improvement areas specifically.
Operator: The next question comes from Robert Davies from Morgan Stanley.
Robert Davies: Just had a few. One was just on the corporate cost line. I noticed that came in quite a bit below where consensus expectations are. I just wondered if you could provide any color on what drove that and what the expectation for that line item is for the full year? That was my first question. My second one was following up on something you mentioned earlier on, China. We have seen some of your peers highlight the potential stimulus package in China that could push increased investments in med tech and Life Sciences more broadly. I'd just be curious to get your thoughts around potential magnitude of timing and sort of size of that sort of stimulus package, what you're hearing on the ground? And then just on the -- I guess, in that capital markets event that you were sort of highlighting potentially looking at the margin targets, isn't that something you would sort of lean towards having a band or specific number? Could you just provide any color on what the thought process is there around the sort of margin expectations for the group?
Agneta Palmer: So if I start by the corporate cost line, it is not a trend shift, it is more of a timing of some cost items.
Mattias Perjos: Yes. So don't extrapolate that number, instead just go with the old one. When it comes to China and bioprocessing, I think we remain a bit more pessimistic. We hear mixed news from our peers partly related to stimulus partly related to just general market development. We see that it doesn't seem to be getting any worse. It's bottoming out, but it's very difficult to predict any uptake here, stimulus or not. So we remain humble that we don't really have great visibility when it comes to China I think. And when it comes to the Capital Markets Day, I think it's probably better to just wait for -- it was not the Capital Markets Day, but it's a capital markets update. Better to just wait for that. I don't want to give any preview here on what exactly to expect. We're trying to gather feedback from the market, what's desired and trying to see -- match that with what is actually possible to realistically provide for us.
Robert Davies: Understood. Maybe if I can just squeeze one final one. Just around AECT margins. once you're sort of through these packaging remediation issues. Is there any reason that margins should not go back into those low 20s? Are you still -- I know on previous calls, I think you mentioned the sort of hope or an expectation of maybe getting to mid-20s in that business. So just be kind of curious what was the last or latest public commentary on the trajectory and time line of AECT specifically. Is it just a packaging issue or is there anything else?
Mattias Perjos: It's not just a packaging issue, it is packaging, It's remediation work in Cardiac Assist, it's upgrading of old platforms. There is both quality system work number of product engineering, product maintenance updates that needs to be done. So it is a heightened cost level. Having said all that, just to answer the question that you had, no, there is no reason why the margin shouldn't go back above 20%.
Operator: The next question comes from Patrik Ling from DNB Markets.
Patrik Ling: And just want to come back once again to the event on the 15th of May. So the long-term financial targets that you have for '22 to '25, we should not expect you to change those at this event?
Mattias Perjos: We'll have to come back on the event as such, this is a process that we're still going through. So I don't want to exclude anything at this point.
Patrik Ling: Okay. Great. Good. Then I also had a question on, when I look at the group items for this quarter, it's significantly lower than what we saw during for last 4 quarters during '23. Are there any specific reasons? And is this the level that we should expect going forward?
Agneta Palmer: You're looking at the corporate cost line, correct?
Patrik Ling: Yes, the group items in EBITDA, yes.
Agneta Palmer: Yes. It is not a trend shift so we should not extrapolate this current level. It is about the timing of some costs. So it is rather to look at the historical levels.
Patrik Ling: Okay. Great. So going forward, we should more look at what we saw last year rather than this quarter. And then my last question is, I mean, you mentioned in the report that you signed a distribution agreement with Cook for the covered stents. Any particular reason why you do that? And why don't you go with -- alone so to speak, in the U.S.?
Mattias Perjos: Yes. I think it's a great question. I think what's happened since 2017 and how this market has evolved, I think you should keep in mind that we were basically alone in the covered stent space this part of the space. in 2017, and we had a couple of new competitors enter. So the market landscape has changed quite a bit. And looking at the resources that we have when it comes to the commercial part of driving this business we just came to the conclusion that to make that investment organically ourselves right now, just wouldn't be a good capital allocation compared to other options that we have. So therefore -- and in addition to this, Cook Medical was looking for a product as an addition to the portfolio. So it was a really good match to join forces with them. So that's the rationale behind this.
Operator: The next question comes from David Johansson from Nordea Markets.
David Johansson: I have two. So first, a follow-up on the results in Surgical Workflows. How much of the margin improvement was driven by Healthmark and how much was sort of underlying improvements in the quarter? And secondly, on the Critical Care business, there looks to be some meaningful changes looking at the competitive landscape in the U.S., especially with one competitor exiting. So it would be interesting to hear your thoughts on this market, specifically now after these changes and how you feel about the potential now looking at replacement volumes over the next few years.
Agneta Palmer: Yes. So if we start with Surgical Workflows, it was both an underlying improvement in the legacy business, so to speak, and a positive contribution margin-wise from Healthmark.
Mattias Perjos: Okay. And if we move to the critical care space, I agree with your conclusion. I think it is interesting now to see what happens in the wake of some of these players that are exiting the market, but it is still early days and difficult to predict the impact of that. So we're cautiously optimistic and this should definitely benefit us, but it's very difficult to adjust the timing and the impact of this.
Operator: The next question comes from Robert Davies from Morgan Stanley.
Robert Davies: I just had a couple of follow-ups. One was, if you could quantify the size of the revenue contribution from High Purity and Healthmark in the quarter. That was one question I had. And then just in terms of your full year guidance around organic sales growth, how do you see the risk to that, given that you've posted 0 in the first quarter? And the comps, obviously, are easier in 2Q, but they get much, much stronger by the time you reach 4Q. I just wonder if you kind of contextualize the seasonality of how you're thinking about that.
Mattias Perjos: Can you repeat the second half of the question first.
Robert Davies: Sorry. The first one was on the revenue contribution from High Purity and Healthmark. And then the second part of the question was just how you feel about the full year guidance on organic sales growth of 2% to 5%, given you've obviously started the first quarter at 0% and 3Q and 4Q are seeing much stronger comps, I think, up to 10% by the fourth quarter. So I just wanted to get a sense of what was going to drive that sort of improved growth in the second half?
Mattias Perjos: Yes. On the first bit, I think we had that actually in the material. So we'll come back in the...
Agneta Palmer: It contributes with an increase in the quarter of SEK 466 million.
Mattias Perjos: You can see that in one of the tables on the presentation [indiscernible]. And when it comes to the organic growth, I think we remained optimistic that we can be inside the window 2% to 5% based on growth that we have now a pickup in order intake, which is passing of course. Looking as well when it comes to the comp quarters, Q1 was a bit more difficult than some of the ones that we have ahead of us now given the COVID restrictions that we listed in China at the end of 2022, which led to an increase in volume in primarily Critical Care, but also to some extent, Cardiopulmonary in the first quarter of last year. So that's some of the reasons. And in addition to this, we hope to become increasingly less constrained when it comes to supply challenges, both quality related and supply chain challenges as well. But I just want to highlight that we're not out of the woods there. There's some uncertainty linked to this with the visibility that we have, we remain confident that 2% to 5% organic is realistic.
Operator: There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Mattias Perjos: Great. Thank you, everyone, for a lot of good questions here, and thanks for tuning in. So just to summarize, again, we closed out the first quarter, I think the main positives being organic order intake growth, a good momentum from the companies that we acquired during last year as well and a stream of nice product launches that will be adding value to customers and patients for many years to come. On the negative side, we're continuing to work through a lot of the quality challenges that we've had here. So we're making good progress, but they would remain with us for the remainder of 2024. And finally, we'll come back on the 15th of May with a slightly more granular update when it comes to growth and profitability of our business. So once again, thanks for joining the call today.